Operator: Ladies and gentlemen, thank you for standing by, and welcome to the 2020 Second Quarter Earnings Conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Shannon Burns, Director of Investor Relations. Thank you. Please go ahead, sir.
Shannon Burns: Good morning, everyone. You can access the slides supporting this call at investor.harley-davidson.com. Click the Earnings Materials box in the center of the page. Our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. Joining me this morning are CEO, Jochen Zeitz; Interim CFO, Darrell Thomas; and COO, Larry Hund, will also be joining for Q&A. Jochen, let’s get started.
Jochen Zeitz: Thank you, Shannon, and hello, everyone. We continue to face challenges during these unprecedented times. But as The Rewire is implemented, I’m very pleased with our accomplishments so far. COVID-19 continues to challenge us personally and professionally. Our dedicated workers have returned to our production lines and our priority is keeping everyone safe. We recognize that life and work will be far from normal for as long as the virus poses a significant threat. Recent events have also renewed our commitment to stand up for inclusivity and equality. Through this new reality, our team has put together an extraordinary ways, making significant progress towards the goals of The Rewire in our future success. We are encouraged by the positive feedback from key stakeholders and the early impacts we’re already seeing in the marketplace. I would first like to provide an update on our ongoing actions in response to COVID-19. First and foremost, the health, well-being and strength of our community continues to be at the forefront. We have diligently implemented and are constantly fine tuning our protocol to keep workers safe in our factories. We expect most non-production workers to continue working from home until the end of the year. Second, as I said last quarter, we are executing prudent cost-saving measures and expect to deliver $250 million in cash savings, excluding restructuring charges this year. Additionally, discretionary share repurchases continue to be suspended, and we will pay a Q3 cash dividend of $0.02 per share in line with our Q2 dividend. Third, we have further strengthened our strong liquidity position with nearly $4.7 billion at the end of the quarter. In Q2, we secured an additional $3.3 billion of liquidity. And finally, throughout the second quarter, we provided significant help to ease the burden on dealers and riders by providing dealer support based on the unique needs of each region, including financial support for motorcycle inventory, expanding certain cash payment due dates and adjusting requirements for warranty training. To help our riders, we also extended payment terms for those who requested the systems. At the end of the quarter, about 93% of our global dealers were open for retail motorcycle sales falling pandemic interruptions. Three months ago, I shared with you that significant changes were necessary. Complexity needed to be dramatically reduced. Goals set needed to be achievable and realistic. Our strategy had to be refocused to better align with our capacity and capabilities and also our new reality, focusing on what makes a difference and nothing else. We also needed to reignite the soul of Harley-Davidson and strengthen our culture. Based on the urgency of these realities, we defined areas for immediate attention and created The Rewire playbook. We set out to rewire Harley-Davidson from top to bottom. Our implementation of significant changes has been swift and diligent, which has led to progress on all our priorities. First, our new operating model and organizational structure is now simpler, more focused, and will enable faster decision-making across the entire company. Significant work has been done across all areas of our global business to eliminate duplication, inefficiencies and complexity. We’ve taken a hard look at our priorities, the dollars we’re spending and how work at Harley-Davidson is getting done, to align our operating model and cost structure to the current realities of the business, setting us up for long-term stability and success. Every function, region and country has rebuilt its organization from the ground up to focus on what is essential and valuable. We’re simplifying interaction – interactions and processes, scrutinizing spend in categories large and small and eliminating activities that are not essential. Here are some examples. We’ve created a new global commercial function accountable for sales and inventory management across all our product lines, regions and countries. The marketing function has been restructured to maximize our new messaging. Building on our strong brand legacy, we would shift marketing plans to put the spotlight back on the brand, heritage and great product on events that drive true conversion on investments that build desirability. The first brand building approach will be shown in the social media campaign directed by Jason Momoa, celebrating the shared journey and unrelenting spirit of our Harley-Davidson Community during these challenging times, and strengthening the positivity and freedom we all find in riding motorcycles. Harley-Davidson financial services is increasing operation support, specialist staffing and collection capabilities and will improve consumer online processing support and better align hours of operation with dealer needs. Manufacturing is being optimized to our future volume needs, while also providing better management of production peaks and valleys throughout the year. Product development and engineering have been reconfigured to align more clearly with our product priorities going forward. Motorcycle management, a newly created function is focused on enhancing our core strength, better balancing expansion into new spaces and fine-tuning the product portfolio and life cycle plan. Clear performance criteria will be set, focusing on the most desirable and profitable products, while reducing overall product complexity. Our new operating model includes a newly created administrative function to support our critical people and stakeholder priorities. This will drive greater efficiency in our facilities and lead our future of work initiatives. We plan to add a Sustainability Officer to the team who will further our commitment to the planet and to society. We’ve merged communications with PI and Investor Relations. This will ensure we’re effectively engaging with our communities internally and externally, providing a cohesive approach with our core messaging and mission. Finally, digital and IT is being elevated out of the finance organizations We recognize digital technology as a critical priority in the future of Harley-Davidson, as we continue to significantly improve our GIS capabilities. The significant changes to our operating model have not been without painful choices, but these are actions that are necessary to deliver success. The streamlined structure requires approximately 700 fewer positions across the company’s global operations, with approximately 500 employees unfortunately leaving us. To strengthen our new operating model, we are adding new hires to critical positions and are also filling key roles with our exceptional internal talent. I appointed new leadership and direct reports in all functional areas, including product development and engineering, commercial, comms, PR and Investor Relations, legal, motorcycle management, HDFS, HR, and the newly created administrative function. The search for a new CFO is in progress. Second, our product portfolio and launches have been reset for maximum impact with a fully aligned go-to-market process. We’re streamlining our motorcycle models by approximately 30%, with plans to further refine our product portfolio. This enables us to invest in the products and platforms that matter the most, while better balancing our investment in new high potential segments. In this context, we plan to expand our offering of iconic motorcycles to those which most embody their spirit of Harley-Davidson. We plan to expand our unprecedented market-leading touring strength with the delivery of our first Adventure Touring motorcycle, the Pan America. We see strong potential in Adventure Touring and will launch Pan America globally next year. We will be going to market with an improved launch process. Beginning with model year 2021, we will shift our product launch and dealer reveal timing in – into early Q1, driving demand for products and sales for dealers at the start of the riding season. As we transition this year, we have extended our 2020 model year production through fall and expect model year 2021 bikes will arrive in dealer showrooms early in the New Year. We will invest into the new go-to-market capabilities and elevated product launches and investment into our brand using some of The Rewire savings. Third, we are focused on growth beyond motorcycles and are building parts and accessories and general merchandise businesses to full potential. The new P&A and GM organizations are now led by expert leaders who are tasked with ensuring each business is aligned to our priority markets and motorcycle strategy going forward. They’ve already laid out initial plans to reset our channel strategy and future product lineup. For parts and accessories, we will better leverage opportunities for customizing our motorcycles at the point of sale to drive customer engagement and increase sales for us and our dealers. We also expect to reduce P&A SKUs by at least 15%. Our general merchandise business will bring the Harley-Davidson brand to new consumers, while enhancing the overall experience for our riders. We will plan to make strategic investments in new and emerging innovative technology, designed to create apparel that is durable, safe, comfortable and stylish. To enhance our focus and reduce complexity, we expect to deliver SKU reductions of at least 25% Our goal is to deliver a holistic approach in the marketplace, one that brings together our incredible line of motorcycles with general merchandise and parts and accessories, enabling our consumers to truly customize their Harley-Davidson experience. Fourth, we’ve reset our global business to be more focused. Major changes include concentrating efforts on the highest priority markets, primarily North America, with the U.S. and Canada, Europe and parts of Asia Pacific, and structuring in a way that shifts resources and marketing into the regions for maximum impact in line with our future strategy. Our new global business structure better aligns our investments with their potential. Going forward, we plan to concentrate our efforts on approximately 50 markets, representing the vast majority of our volume and growth potential. We’re evaluating plans to exit international markets, where volumes and profitability do not support continued investment. We’ve streamlined our regional offices and created the freedom within a clearly defined framework for countries to make decisions to drive their business. These in-market teams will be more agile and better equipped to understand consumer needs, provide focused attention to dealers and respond more quickly to local market conditions. We also plan to optimize our dealer network to provide an improved and integrated customer experience. Lastly, we’ve revamped our approach to supply, demand and inventory management to protect the value and desirability of our brand and products. As our factories reopened, we simultaneously implemented a new approach that is aimed at making the right decisions for the long-term health of our brand. As we’ve worked through The Rewire, it was very evident to me that we had lost our focus on the strength of our brand in favor of promotional activities, which erode our value and the investment our riders make in our products. We’re not willing to sacrifice the strength of our legacy in a quest for pure volume growth going forward. We, therefore, have revamped our approach to supply and inventory management, focusing on products and initiatives that add value, while significantly reducing discounting price promotions. This drives retail pricing to help preserve the value and desirability of Harley-Davidson motorcycles for its customers and brand. The outcomes of The Rewire are already significant, which is a testament to the extraordinary work across the organization this year. We are encouraged by the value that is being driven by our new supply and inventory management. On average, new motorcycles were selling at MSRP in the U.S. In addition, we also saw a meaningful increase in used motorcycle pricing at retail and at auction. I’m already witnessing a transformation in how the organization functions, with better engagement from our leaders and a change in how we evaluate decisions, more credible expectations and more voices across the business incorporated in the process. I’m seeing better awareness of cost management and ROI and increased focus on prioritization and simply – simplicity, along with more accountability and ownership of outcomes. While many of The Rewire priorities have been executed, we still have a significant amount of work through the end of the year. I believe The Rewire will serve as a strong foundation for a successful future and phase two of all company development, our new five-year strategic plan. We intend to build on the foundation of The Rewire and focus all our efforts on Harley-Davidson as the most desirable motorcycle brand in the world. For 117 years, Harley-Davidson motorcycles have ignited desirability and that desirability will form the foundation of our strategy and every aspect of the Harley-Davidson experience into the future. All of the decisions we are making will focus on our customers, enhancing the desirability of our brand, promoting growth, while protecting the value of our iconic product for our riders. Future growth will be targeted and focused to where we can win and balance between the categories that drive us today and those that will power our future. We strive to make riding the perfect remedy during these troubled times, the way to connect with our community and the world outside to find peace and experience adventure as one of the few brands in the world that delivers freedom for the soul. We intend to share the first look at our new strategic plan named, The Hardwire, in Q4. Now, I’ll turn it over to Darrell to discuss the financial results of the quarter.
Darrell Thomas: Thank you, Jochen. The summary of our Q2 results is on Slide 8. Motorcycle segment operating income in Q2 was considerably lower year-over-year, driven primarily by lower shipments, as we suspended global manufacturing during the quarter due to COVID-19. Financial Services operating income was down significantly, driven by further adjustments to our provision for loan losses, in accordance with CECL, as the pandemic persisted. Consequently, consolidated net income was down versus prior year. EPS reflected a loss compared to the second quarter of last year. Based on restructuring actions taken during the second quarter, charges were $42 million and are expected to result in annual ongoing savings of approximately $100 million. On Slide 9, second quarter worldwide retail sales of new Harley-Davidson motorcycles were down 26.6% versus prior year, primarily reflecting significant dealer closures due to COVID-19. As we noted on our Q1 call, at the end of April, nearly 60% of our global dealer network was closed. We saw reopenings begin to occur towards the end of May into early July. And by the end of the quarter, 93% of global dealers have resumed normal operations. U.S. retail sales in Q2 were down 26.7% versus prior year, as most U.S. dealers experienced some level of COVID-related closure or retail sales disruption. EMEA saw a year-over-year decline of 29.8%, down across all markets. Asia Pacific was down 10.2%, driven by declines in Japan and Australia, partially offset by growth in China and South Korea. Latin America saw declines in Mexico and Brazil and finished the quarter down 51%. During the quarter, U.S. market share of new bike registrations was 38.5%, down 8.1 percentage points, driven by the impact of our new approach to supply and inventory management, growth in segments outside of our stronghold segments, increased promotions from our competitors and a decline in fleet sales. Our year-to-date market share in Europe was 7.9%, down 1.1 percentage points versus prior year. While we experienced some slight improvement in our second quarter market share, we were adversely impacted by better market performance in segments outside of our stronghold segments. We also saw increased price competition across all product segments. Given the pandemic impact and, as Jochen already mentioned, we’re taking a new approach to supply and inventory management, not focused simply on volume, but on profitable and desirable volume. We’ll continue to aggressively manage the supply of motorcycles into the dealer network as we manage through the pandemic and beyond, as part of our strategy to strengthen the value of our motorcycles. These actions are driving long-term fundamental improvements across our business. Shipments in revenue are noted on Slide 10. Wholesale motorcycle shipments in Q2 were down 58.7%, significantly impacted by COVID-19-related disruptions. Our Europe factory was closed with two-thirds of the quarter, and our Thailand factory was closed throughout April. Lower shipments impacted revenue for the motorcycle segment, which was $669.3 million, down 53.3%. Motorcycle family mix shifted from touring to cruising versus last year’s second quarter, which reduced average motorcycle revenue per bike. Foreign currency exchange also negatively impacted revenue per bike, partially offset by lower sales incentives and higher pricing. Gross margin and operating margin details presented on Slide 11. Gross margin in Q2 was down as a result of lower shipments, product mix, unfavorable foreign exchange – foreign currency exchange and higher manufacturing expense, slightly offset by favorable raw materials and pricing. The mix impact was unfavorable by $16.3 million, driven by our higher mix of Cruisers and Sportsters versus Touring bikes last year, and also a mix of lower-margin P&A. Currency exchange adversely impacted margin by $15.4 million, largely due to a stronger U.S. dollar. Margin also reflected lower absorption and productivity related to the plant shutdowns, partially offset by lower tariffs. Operating margin as a percent of revenue for Q2 was down compared to last year, driven by lower gross margin and restructuring costs, partially offset by aggressive cost management driving decreased SG&A. Second quarter Financial Services segment operating income was $4.9 million, down 93.5% compared to Q2 last year. Net interest income was down $8.3 million due to higher average outstanding debt as we increased liquidity in the face of the ongoing pandemic, The Q2 provision for both retail and wholesale loan losses was $64.8 million unfavorable to Q2 prior year. This includes a $71.2 million increase in allowance for credit losses, partially offset by a $6.4 million decrease in actual credit losses. Credit losses were down as a result of lower delinquencies and lower repossessions helped by our offering of payment extensions to certain customers. Credit losses were also down on our inventory management efforts, which fuel stronger motorcycle values at auction, driven by increased demand for used bike. The allowance for credit losses was up in Q2, as the economy continued to deteriorate through the quarter due to the pandemic. The adjustment accounts for the current recessionary economic condition and risk related to the continued and accelerating spread of COVID-19 in the United States. Our allowance reflects the estimated impact of losses over the entire life of loans in our portfolio. Additional Financial Services segment details are noted on Slides 13 and 14. Q2 retail originations were down 10.1% versus prior year, driven by lower new bike sales, partially offset by strong used bike sales by dealers. Harley-Davidson Financial Services market share was up a very strong 3.4 percentage points to 59.3%. At the end of the quarter, we had $3.41 billion of cash and cash equivalents and $817 million of liquidity available from bank credit and conduit facilities for total available liquidity of $4.23 billion. Cash and cash equivalents remain elevated as we prudently hold cash in the face of the economic uncertainty. In Q2, we’ve raised $3.3 billion of liquidity and fixed transactions, supported by the strength of the Harley-Davidson balance sheet. As of Q2, our debt to equity ratio was 5.1:1, well within our debt covenants, which required debt to equity to be no higher than 10:1. Our 30-day plus delinquencies were favorable, down 158 basis points as we lack startup inefficiencies related to the implementation of a new loan management system last year. We continue to see customers request payment extensions due to the economic challenges of the crisis. The pace of these requests is much slower than it was in Q1 and the first-half of Q2. Customers who have received COVID-19-related extensions may pose an incremental future risk. However, approximately three quarters of the customers that have received extension have made a payment on their loan. In Q2, retail credit loss rate was 1.87%, a 5 basis point increase over Q2 prior year. The remaining Harley-Davidson, Inc. financial results are summarized on Slide 15. Our quarter-end cash and cash equivalents balance was $3.86 billion. Year-to-date operating cash flow of $600.2 million – $610.2 million was driven by lower inventory levels and favorable cash flows from wholesale financing activity, partially offset by lower net income this year compared to last year. Our year-to-date effective tax rate was 3.7% compared to 24.1% last year. The year-over-year decrease in the rate was primarily due to discrete income tax expenses recorded during the first-half of 2020, which reduced the company’s income tax benefit expressed as a percent of the pre-tax loss. We believe the charts on Slide 16 demonstrates that over time, we are a leader amongst our peers in ROIC, as a motor company; and ROE, at HDFS, and we are a demonstrated leader in our ability to generate cash. In the second quarter, we paid a quarterly dividend of $0.02 per share. As you will know, and as communicated previously, we did not purchase any of our stock on a discretionary basis in the quarter. As we continue to take prudent actions to serve cash, given the uncertainty of the ongoing pandemic, we do not intend to repurchase stock in the back-half of 2020. The Board did approve a Q3 dividend of $0.02 per share. Much uncertainty remains as we assess the current environment and the pandemic’s impact on the global economy and on our business, and it remains difficult to reasonably forecast our financial performance. Therefore, we continue to suspend financial guidance for 2020. To wrap up the financials, while COVID-19 is impacting our short-term results, as Jochen said, we are confident the actions we’re taking with The Rewire will strengthen our business and drive long-term value for our stakeholders. Now, let’s take your questions.
Operator: [Operator Instructions] Your first question is from James Hardiman of Wedbush.
James Hardiman: Hey, good morning. Thanks for taking my question. So it’s somewhat of an open-ended question with regards to whatever you’ll give us on the retail front. I’m curious what the momentum was within the quarter? Maybe if you could sort of talk through how the dealers that were actually opened in the quarter did from month-to-month? And then any color on what June looked like? And ultimately, now that we’re almost at the end of July, how July looks like? So, obviously, you have different policies, which of those things you want to touch on, but any color you can give us would be really helpful?
Lawrence Hund: Thanks, James. This is Larry Hund. So, if you take a look at sequentially, end of April, we only had about 40% of our dealers open for motorcycle sales. Dealerships then tended to open as we went throughout May. By the end of May, we had about 80% of worldwide dealers open for motorcycle sales and then saw additional openings in June. So that there were – by the end of June, we had about 93% worldwide dealers open for sale. So as you can imagine, sales increased sequentially by month as we went throughout the quarter, obviously, June being the strongest month of the quarter. And then as far as July, I would say, once again, we got most of our dealers open. And I would say, sales are trending as expected, given our new approach to supply demand and inventory management.
James Hardiman: And I guess, if I may, just a follow-up to that last point. Trending as expected with a caveat, is the expectation that now that inventories are significantly lower as a result of the new strategy that, to some degree, that has and will continue to limit retail as we move forward?
Lawrence Hund: So I think, as Darrell said, we’re not giving updating guidance here. But clearly, I think, the new approach to balancing supply and demand and inventory management will have an impact on retail sales, as we work to create desirability and some of the benefits of that, that we saw as we went through the quarter of benefits to retail pricing, both for new and used motorcycles and benefits for used motorcycle prices at auction.
James Hardiman: Excellent. Thanks for the color, guys, and good luck.
Operator: Your next question is from Shawn Collins of Citigroup.
Shawn Collins: Great. Thank you. Hi, guys. Good morning.
Jochen Zeitz: Good morning, Shawn.
Shawn Collins: I wanted to – thank you. I wanted to ask about the SG&A cost savings. I know you laid out that you’ve got $250 million in cash savings. Can you break that out between the CapEx savings and the annual SG&A savings that are expected, please? Thank you.
Darrell Thomas: Yes. Thanks, Shawn, for your question. We’re not going to break that out any further than what we’ve done already, which is basically, we expect that those savings will be made up of SG&A and capital expenditure reductions. And so that’s at this point, all we’re going to say about the $250 million. I will tell you, though, that we are on track to deliver the $250 million that we discussed in Q1. So we’re confident that we’ll be able to deliver that for the full-year, and that is before any restructuring charges that we are going to be taking.
Jochen Zeitz: And to add to that, what Darrell said earlier is that, the restructuring charge we took in the second quarter, we expect to deliver $100 million in SG&A savings. So that gives you some indication.
Shawn Collins: Okay, that’s great. Very helpful. Thank you very much. I will get back into the queue. Thanks.
Operator: Your next question is from Jaime Katz of Morningstar.
Jaime Katz: Hi, good morning. Thanks for taking my question. I’m curious if you’re willing to give us any insight on the exit of international markets that you’re looking at? If there’s anyway we can maybe think about quantifying what percentage of shipments that might be? Thanks.
Darrell Thomas: So I won’t give an exact number. But I would say, that is a relatively small percentage of shipments. If you take a look at it, as we said, we’re focusing really on about 50 roughly primary markets that generate the vast majority of our retail sales and shipments. We are still evaluating, which markets we may choose to exit. But those are markets that generate a relatively modest amount of our sales and a relatively modest amount of our profits.
Jaime Katz: Okay. And then I think in the press release, it said the Adventure Touring model was being pushed back. Do you have any comments on the Streetfighter model? I think that was set to come out next year as well?
Jochen Zeitz: Yes. At this point, Adventure Touring will be the focus going into next year. As I said earlier, we expect to streamline our product lineup by about 30% in terms of model reduction and color reductions. Other product line-related decisions, we will be revealing in real-time, so it’s not really something we can and want to talk about at this point. But let’s focus on Adventure Touring as an exciting new segment for us going into the New Year.
Jaime Katz: Excellent. Thank you so much.
Operator: Your next question is from Gerrick Johnson of BMO Capital Markets.
Gerrick Johnson: Hi, good morning. I’m not sure you quantified this. So the $100 million in ongoing savings related to current actions. Is that a run rate? Or is that we expect this year? And how much of that is incorporated in the $250 million that you mentioned earlier?
Jochen Zeitz: That is a run rate. But as Darrell said, we are looking as part of the new five-year strategic plan to also reinvest into brand building initiatives. So if you take dollar for dollar, that is correct. At the run rate, but with a caveat that we might want to decide on reinvesting and investing more into brand building initiatives.
Gerrick Johnson: Okay. And, Jochen, a question for you. You mentioned strengthening the H-D culture. In your book manager in a monk, you say that managers should ask themselves this question. Which elements of collective memory should be recognized? What must be brought in and what must be discarded? So how would you answer your own question?
Jochen Zeitz: Well read. Well, look, we have a very dedicated employee on workforce around the world, which is really fantastic. The culture has suffered. The company has seen five consecutive restructurings every year in order to sort of chase the downward trend in sales. That has affected morale and engagement by our team members around the world, which is totally understandable, and that’s the culture we need to revitalize. I see a huge amount of commitment. Obviously, the last couple of weeks have been tough, because we had to let go of over 400 – 500 people. That is a very difficult thing to do and has its effect on morale, too. But overall, I do believe there is an incredible energy and passion for Harley-Davidson to get back on the winning street. And that’s that energy and passion I want to – I’m calling upon by our employees around the world and I’m certain that I will get that and we’re seeing already positive changes despite the difficult environment we are in. Selectively, as I also mentioned earlier, we are bringing in new talent. We have fantastic talent. But in some areas, we we are looking to hire and have already brought in new talent into the company. So we are complementing a strong team with new talent from the outside. And I think that’s about it. A lot of the things that didn’t happen are very much down to the way the company was run, the way the structure – the organization was structured, the way the processes were defined, and that’s why this is a really comprehensive reset and rewire of how Harley-Davidson operates as an – in a newly defined operating model and newly defined processes going forward. And that I think will unlock the power of the team that we have in place going forward.
Gerrick Johnson: Okay. Thank you very much for that.
Operator: Your next question is from Greg Badishkanian of Wolfe Research.
Fred Wightman: Hey, guys, good morning. It’s actually Fred Wightman on for Greg. If we just look at the market share figures, particularly in the U.S., I mean, that was down pretty significantly year-over-year, and this is definitely a transition year. But how do you expect share to trend over the next few quarters? And is there any risk that some of that market share erodes permanently?
Lawrence Hund: So once again, we’re not giving guidance going out. I think, if – as Darrell talked about, right, we – there were really four things that impacted share here in the second quarter, One certainly, growth in segments outside of where H-D – currently, Davidson primarily competes. Fleet sales, if you think about fleet sales, a lot of those tourists come from Europe and that drives a lot of the fleet market. And certainly, that type of travel is with COVID has really been dramatically reduced. So that had a meaningful impact on touring. And then we had, obviously, there was a lot of promotion in the market in the quarter with our whole approach to supply and demand and inventory management, we didn’t do promotion in the U.S. in the quarter. So those were really the big drivers during the quarter. What I would say is that, we think that the positives that came out of our supply, demand, inventory management, with increased pricing at retail for new and used motorcycles with the increased pricing at an auction for used motorcycles in closing that new used price gap in the long-term is a positive for Harley-Davidson. And that that’s going to drive greater results going forward.
Jochen Zeitz: And if I may add to what Larry said. I think, look at it this way. Share is more meaningful once supply and demand is balanced. And until then, it’s really the desirability of the brand that is more important. And as Larry mentioned, we are not focused simply on volume or share for that matter. We will not oversupply the market. And if you look at the past and what I’ve experienced, if you look at supply and demand or push and a pull model, we want to make sure that demand pulls our sales and not – we’re not pushing products into the market and start promoting our bikes before the season even started. So we are not going to pursue volume at the expense of the right fundamentals of our business, and we will actually define new metrics that will define desirability. And Larry had already alluded to some of them that have improved in the last couple of months.
Fred Wightman: Okay. Maybe just to follow-up on that last point. I mean, dealer inventories in the U.S. down 17,000 bikes. I mean, where is that versus where you would want it to be ideally and sort of your internal plan?
Lawrence Hund: So I would say, we were down more. Obviously, as Darrell said, we had plants closed. We were certainly down more at the end of the second quarter. Worldwide inventories were down about 32%. The U.S. was down more than that. So inventory throughout the second quarter was certainly a fair amount lighter than we would like going forward. I won’t give you a specific number, but certainly that, that amount we were down at the end of second quarter fair amount lighter than we would expect and we think is the right measurement for the business. And that has come back as plants have been opened and shipping motorcycles on a regular basis.
Fred Wightman: Great. Thank you.
Operator: Your next question is from Craig Kennison of Baird.
Craig Kennison: Yes, thanks for taking my question and kudos to Gerrick on a great question as well. My topic is affordability and kind of demographics. With a premium brand like Harley-Davidson, the focus on scarcity value makes sense. But building that next-generation of riders means that affordability is going to be a factor. What can you do to make that first bike more accessible for the next-generation of riders? And is that important?
Jochen Zeitz: Well, I think, affordability has not been a problem in the past. But when your used prices go down and your MSRP goes down, that obviously devalues the value of our bikes, and that’s what needed – needs to be corrected. So when you are making a significant investment into Harley-Davidson product, you want to make sure that your value is preserved and it doesn’t deteriorate from the moment you buy – you put the Harley-Davidson product. So I think affordability is relative. Some have said that we want to be exclusive. No, we don’t want to be exclusive. In fact, we want to be inclusive as a brand, but we want to protect the value of our products for our customers. And that is all built around the desirability, which we are managing with different metrics and as part of the next five-year strategic plan. I think, demographics, we also need to look at who has been buying Harley-Davidson in the past and who do we expect to buy Harley-Davidson in the future? And quite honestly, I think that we’ve had a more – a rather oversimplified view. Harley-Davidson is for those who share our mission and we call it the timeless pursuit of adventure, freedom for the soul, and that is regardless of age. And it’s important to remember that the customer targeting is so much more dynamic than actually looking at age. I’ve heard now so often that our consumer is aging out. Well, I’m aging, as they say, and I feel like riding right now. In fact, I would say, consumers are aging into riding, as they have more free time and resources, especially post this pandemic. And so Harley-Davidson is really more about attitude and emotion than agent demographics. And if you look at the data, that actually does show that people at the age of 30-plus over time age into riding, and that is critical. That is not to say that we will be attracting a lot of teenagers to our brand, that’s just not the focus of our company. But that being said, if you look at engagement or an incidence rate, that’s increased 1.5 times for young adults since 2010. And actually for 50-plus, it has increased over 2 times since 2010. So that’s the positive. And if you look then at sales of used and new bikes together, we’ve actually done really well in the second quarter. And that shows that there’s a huge amount of demand for our product. In 2019 alone, over 500,000 riders have purchased new and used bikes. We tend to focus only on new bikes, I think, that we need to change. So I’d say, affordability by protecting the value of our product, but not certainly by cheapening it and hence, focusing on desirability will be the future. Entry models, we will look into, but I will be talking more about that in our five-year strategic plan.
Operator: Your next question comes from Brandon Rollé of Northcoast Research.
Brandon Rollé: Good morning. My question is on the new rider dynamic you’re seeing in the industry. Could you comment on Riders Academy Registrations or what you’re seeing? It seems like other power sports industries are seeing new riders? Could you comment on that?
Jochen Zeitz: Yes. I mean, yes, COVID-19 certainly has sparked interest, especially in the U.S., but also internationally for outdoor activities, and that is visible in positive sales trends, in particular in bicycles and boats and RVs and other outdoor products. Motorcycling in Harley-Davidson, specifically, we believe has and will continue to benefit from this trend. As we said now, taking new and used sales together, we’ve actually seen a slight increase in the second quarter and that has increased as well. In particular, regarding the Riding Academy, I mean, we’ve added two new programs to – with experience to ride and learn to ride. And we actually expect all of our classes to be full for the rest of the year. So we’ve seen a significant increase in our Riding Academy classes at our U.S. dealerships. And in the long run – in the long-term, we believe that an increased interest in outdoor power sport activities, including motorcycles, should then also have a positive effect on Harley-Davidson going forward.
Operator: Your next question is from Adam Jonas of Morgan Stanley.
Adam Jonas: Thanks very much. The question just asked was what I was going to ask. But I wanted to pivot to just, Jochen, how are you seeing morale in the company right now? You’re being refreshingly open with some of the degradation in the company and how it’s hit the culture. But as you’ve been able to reach much, much deeper into the management of the dealers to the line workers, any anecdotes, thoughts, moods, you want to share as the company kind of comes out of this dark period and kind of maybe can transition from anxiety to some hope?
Jochen Zeitz: Now that is a great and very important question. Let me say this. From my perspective, management has been, how should I say, removed too much, removed from business and from culture, and that is something that needs to change dramatically. And if I meet a Managing Director of a relatively important country, and that person has not spoken to 15 years – for 15 years to senior management, there is a problem, right? So, first of all, we have to make sure that decision-making happens where it needs to happen. And that’s what I tried to say in my speech early on. We need to delegate responsibility out to those who know how to make the right decisions within a clearly defined framework. So that doesn’t mean that we just delegate. It means that those who know best that run the countries, that run the region should be having a clear framework within which they can make decisions, and don’t have to wait for leadership to ultimately micromanage in markets. That’s not going to happen going forward. I think that will have a significant effect on morale. Obviously, as I said earlier, it’s been a tough couple of weeks, having to let go so many of your colleagues is very tough. And it’s certainly not helping morale. But I do believe based on the feedback I’ve received that there is a general understanding that this is not a cost-cutting exercise. This is really about setting the company up for long-term success. It’s making sure that we have the right operating model, the right people in the right place with the right processes, so that we will make the right decisions and become faster, less complex and more focused. And that’s essentially what the focus was. The side effect – the positive side effects is, of course, that our costs will go down and that we’re adjusting our cost structure to the new reality. But more importantly to me, we shouldn’t just focus on the cost side. But actually, after five years of cheese slicing costs down, actually setting ourselves up for long-term success by being a much more high-performance company. That is really the focus of The Rewire and we’ve made tremendous progress. I’ve been to the factories now, except Tomahawk, I visited our powertrain operation, I visited York and as well, I think, more engagement by senior management to understand what’s actually going on in the factories is required and we’ve gotten and received a lot of positive input that we take into account. I reference to peaks and valleys in our production throughout the year is something we need to work at. It’s just inconceivable that you layoff people to then rehire them three months later, that is never good for quality. In the interim, you have to bring in casual workers to fill the gap, not having the same experience and not putting the same focus on quality. So that’s something we need to work on. That’s an area that we are focusing right now. And I think dealers –well, I mean, I’ve been in touch with many dealers. In fact, I’m reaching out to many dealers in the next couple of weeks, virtually rather than physically with all the restrictions on travel that we are still seeing. But I think overall, I’ve only received positive feedback from our dealers so far that we are making the right decision. So I do believe anxiety will pass quickly, and we are going forward with a lot of hope. But it’s not hope, it’s actually clear plan. It’s a clear strategy. It’s a clear rewire playbook that we are executing and that we are communicating on in a much more significant way. We are communicating – I’m communicating personally every week. After this call, we have a global seminar for all employees, because it’s important that every step we take is being communicated throughout the organization to have full transparency the – of the good, the bad decisions and all the things we can improve. I hope that answers your question.
Operator: Your next question comes from Sharon Zackfia of William Blair.
Sharon Zackfia: Hi, good morning. Thanks for taking the question. On the $75 million year-over-year decline in SG&A, could you help us understand what, if anything, and there was unusual related to the coronavirus disruptions versus something that might be more ongoing and structurally lower? And then, on the HDFS originations, I think, they’re actually higher than the total company’s revenues. Did you do something different as related to the used financing within the quarter?
Darrell Thomas: All right. Thanks, Sharon. So on the first part of the question on the SG&A side, there is nothing that is necessarily unique from a COVID point of view, except for the fact that people aren’t in the office and therefore, they’re not spending to the same extent that they would be otherwise. And obviously, we’ve put a hiring freeze in place and that helped drive down the SG&A that you’re seeing. So the $76 million is really part of the promise that we made with respect to its $250 million commitment. And it’s just coming through all lines of SG&A. We’re not traveling. We’re not spending money. We had a hiring freeze. There’s nothing unique or – to COVID that I could point to. So with respect to HDFS, yes, their performance was better, and it was driven by used. However, there were no promotions. I think, it all goes back to the supply and inventory strategies that we’ve been taken that we’ve talked about already, that are basically creating a demand for used bikes that are being sold through our dealers. HDFS is well positioned to finance those bikes. And as you can see, their performance was stronger than the motorcycle segment. So, again, it’s all part of the whole supply and inventory management process. And we’re seeing it play out at HDFS through strong originations of use. There was no promotions, nothing special about financing use, except for those where the opportunities were.
Operator: Your next question comes from Tim Conder of Wells Fargo Securities.
Timothy Conder: Thank you. Jochen, if I may, one for you and one for Larry or whoever wants to take this. On the new use spread, can you kind of just give us a reference point where that was at the end of Q2 versus a year-over-year basis and maybe a long-term average? So it’s maybe for Larry. And then, Jochen, looking at the part of The Rewire, are you looking in anyway at changing, especially in North America the replenishment, profiling regional areas of dealers and maybe changing what their stocking basis and how that’s replenished as part of The Rewire or The Hardwire, maybe program?
Lawrence Hund: Okay. So on the new use spread, obviously, there’s a lot more used motorcycles in the market than new. But it’s probably about a one-third, two-third split, roughly, third new – maybe two-thirds used.
Timothy Conder: I guess, Larry, from the pricing differentials, because that narrows obviously back to if you have better value for the consumer, it holds the value better. It doesn’t depreciate right out of the dealer floor as much that precipitates this long-term value interest in the brand, what you guys are talking about? So yes.
Lawrence Hund: We saw – it was probably – I’ll give you two things on that. We saw used pricing increase about 6% throughout the quarter, certainly, higher than we’ve seen in any previous quarter for a good while. If you look at the options, we probably saw, as you went through the quarter, not for the entire quarter, but if you went – as you went through the quarter as auctions kind of opened up back in May and June, we saw that comparable bikes were going for roughly about 10% more than they were previously sold. So hopefully, that gives you a couple of benchmarks in the way of used pricing solidified in the second quarter.
Timothy Conder: And then just sort of where that is versus a long-term or where you want it?
Lawrence Hund: Obviously, anything that closes that gap is good. Certainly, I think that those are levels that we haven’t seen in quite a while, Tim. So I think that we think that’s a lot of momentum in the right direction. Obviously, if it closes more, that would be great. I don’t think we have a benchmark on that. We clearly think that, that having that gap be less is a good thing as far as Jochen said, as far as used motorcycles retaining their value and a customer feeling like if they buy a new motorcycle, the depreciation curve isn’t going to be as steep as it was in the past.
Jochen Zeitz: And, Tim, to your other question. As I said, balancing supply demand and healthy inventory levels is key, and that applies to the U.S., it applies to all other markets around the world, because we have quite a dense dealer network in the United States, in particular, that is – has even more importance. And hence, there’s a lot of focus on our new SD&I management process, as we call it now. So inventory management will sit with the commercial function and the responsibility will sit with a commercial function. And hence, that is something that has actually changed. Inventory management was, in the past, our responsibility and accountability, we’re not with the people that ultimately called on the inventory. That’s the problem that we needed to fix. In terms of replenishment, yes, of course, that automatically has an effect on how we will replenish. But I think there are also some other factors that we should bear in mind. And that is – that we also want to make sure that inventories are right throughout the network. And that it means that if some dealers have too much of one model or product, that they also start trading among each other. So unlocking trade among dealers, I think, it’s something that will also help to improve our inventory overall throughout the network. And what we also don’t want to do is have our dealers compete with each other on price. As I said, price promotions and discounting have to be reduced and will be significantly reduced, and that doesn’t only apply to us. But we hope certainly, that by doing the right things with rewire and our five-year strategic plan that our dealers will follow suit and stop competing with themselves. From time to time if they think it’s needed and rather focus on our competition than looking at our fellow dealers as competitors. I think that’s something that we also need to address and they actually need to address going forward.
Operator: Your next question is from David MacGregor of Longbow Research.
Colton West: Hi, good morning. It’s Colton West on for David. Thanks for taking my question. Are you guys still planning to move forward with the small displacement bike in Asia? And if so, can you give us an update on the progress there?
Jochen Zeitz: As I said, we would like to reveal our products much closer to actual launch. And whether and when we are going to launch specific product is not something that I would like to elaborate on right now. We will provide further detail in the fourth quarter. At this point, there’s really nothing new to say about that.
Operator: Your next question is from Joseph Spak of RBC Capital Markets.
Joseph Spak: Thanks. Good morning, everyone. Two questions. One, I was wondering if you could give us an update or a sense of how much plant or I guess line consolidation can occur, as you get your capacity to align with your new go for review of the company’s opportunity, maybe how that compares to 2019 levels? And then secondly, it looks like U.S. inventories down maybe 40% or so year-over-year, but there were some reports that, I think, you want to lower maybe 65%. So do you still plan to under ship in the back-half?
Jochen Zeitz: Are you referring to a manufacturing capacity, or are you referring to our motor side?
Joseph Spak: Yes, sorry. Manufacturing capacity, yes?
Jochen Zeitz: Well, we have adjusted our manufacturing capacity to our expected volumes going forward with all the uncertainties, obviously, that surround the pandemic, but we have taken necessary measures to align our manufacturing capacity. So I think we are pretty much set, assuming that what we see in the foreseeable future are quantities that we’ll realize, but we have taken, I would say, realistic conservative approach.
Lawrence Hund: And, Joseph, the second part of your question as far as shipping in the second-half of the year, as Darrell said, we’re not providing guidance. But I think there are some things you should consider as far as your forecasts are concerned, combination of factors that are going to impact shipments, ultimately, revenue in the back-half of the year. Most significantly, as we said in the call, retiming of our new model year delivery to early Q1 from historically that’s been late August, right? So that is going to have certainly an impact on both shipments and retail sales as far as the timing of that is concerned. I’d say, as we’ve mentioned several times on the call, our new approach to supply and inventory management, in line with demand to drive value and desirability, that’s going to continue through the rest of the year and then into next year. And then we did mention, we are looking at exiting certain markets, smaller volume things like that. And we’ll probably have some continued dealership closures throughout the rest of the year, so in the back-half. So that will probably have an impact as well. And then finally, just, there’s the uncertainty of COVID-19 potential additional disruptions, that hard to predict at the moment, but that could certainly have an impact. So hopefully, that gives you some direction, I guess, as to things that could influence shipments during the back-half of the year.
Operator: Your final question comes from Felicia Hendrix of Barclays.
Felicia Hendrix: Hi, good morning. And Jochen for – as a final question, it’s kind of big picture. So you’ve unveiled a broad and sweeping program. But stepping back, if you had to prioritize the top three issues that Harley had, what would they be? And what do you think the customer wants that Harley is not delivering?
Jochen Zeitz: Well, I’m afraid three is not enough. So I will have to ask you to go back to everything I said. I think everything that is part of the playbook is really important. And I wouldn’t want to highlight anything other than maybe say that without a proper operating model and without the right people in place, the right organizational structure, you can’t succeed. So I think that, that complete and move forward now focusing on other areas of The Rewire, which we’ve already addressed and already have taken significant action, but more to come until the end of the year. We give customers what they want. I would say, we do. We have extraordinary product and we have more product in the pipeline. But the complexity of our product offering has just been quite substantial and sometimes it’s even hard to know what product is worth and that complexity, I think, might even be for some customers a bit confusing at times, especially for those who come into the brand and would like to buy a new bike. That is not a huge problem, but it’s certainly something that makes our lives from a product development and investment point of view more difficult. And that’s also one of the reasons why we don’t want to just launch into every category at once, but want to be very focused on the ones that are true to Harley that our customers are looking for and that are not too much of a brand stretch. You can’t be everything for everybody. We are an extraordinary and desirable brand. But that doesn’t mean that we ever want to become everything for everybody. So that desirability needs to be retained and needs to be reflected in the products we offer and the categories we launch ourselves into if they are not part of the offering today.
Operator:
Shannon Burns: All right. That wraps up our questions for today. Thank you, everyone, for joining us, and hope you have an outstanding day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.